Operator: Good day everyone and welcome to the Northern Trust Corporation’s Fourth Quarter 2014 Earnings Conference Call. Today’s call is being recorded. At this time, I would like to turn the call over to the Director of Investor Relations Bev Fleming for opening remarks and introductions. Please go ahead ma'am.
Bev Fleming : Thank you, Louis, and good morning, everyone, and welcome to Northern Trust Corporation’s third quarter 2014 earnings conference call. Joining me on our call this morning are Biff Bowman, our Chief Financial Officer and Allison Quaintance from our Investor Relations team. For those of you who did not receive our fourth quarter earnings press release and financial trends report by email this morning they are both available on our website at northertrust.com. In addition, and also on our website, you will find our quarterly earnings review presentation which we will use to guide today’s conference call. This January 21st call is being webcast live on northerntrust.com, the only authorized rebroadcast of this call is a replay that will be available through February 18. Northern Trust disclaims any continuing accuracy of the information provided in this call after today. Now for our Safe Harbor statement, what we say during today’s conference call may include forward looking statements which are Northern Trust’s current estimates and expectation of future events or future results. Actual results of course could differ materially from those expressed or implied by these statements because the realization of those results is subject to many risks and uncertainties that are difficult to predict. I urge you to read our 2013 annual report and other reports filed with the Securities and Exchange Commission for detailed information about factors that could affect actual results. During today’s question and answer session please limit your initial query to one question and one related follow-up. This will allow us to move through the queue and allow as many people as possible the opportunity to ask questions as time permits. Thank you again for joining us today. Let me turn the call over to Biff Bowman.
Biff Bowman : Good morning, everyone, and let me join Bev in welcoming you to Northern Trust earnings conference call. As is our customary practice, today I will review our results for the quarter after which Bev and I would be happy to answer your questions. Starting on Page 2, this morning we reported fourth quarter net income of $244 million and earnings per share of $0.98. Our provision for income taxes in the quarter included a 9.5 million benefit related to our decision to reinvest the earnings of a foreign subsidiary and definitely outside the U.S. This decision under APB opinion number 23 reflects the continued growth and success of our business outside United States and is consistent with other similar assertions made in the past. Excluding the income tax benefit earnings per share were $0.94 in the fourth quarter and our return on equity was 11%. Environmental factors which impact our businesses and our clients were mixed in the fourth quarter. A theme which is been ongoing for some time, U.S equity markets was higher at the end of the fourth quarter both year-over-year and sequentially with the S&P 500 up 11% and 4% respectively. International equities as measured MSCI EAFE Index however were down approximately 7% year-over-year and 4% sequentially. With the decline in both comparisons primarily reflecting a stronger U.S. dollar. In bond markets, the Barclays U.S. aggregate index was up 3% year-over-year but down 1% sequentially. Client assets under custody ended the quarter at $6 trillion, up 7% over last year, and assets under management ended at $934 billion, up 6%. On a sequential basis, client custody and managed assets both increased 1%. I’ll provide further details on asset trends later in this call. Currency markets had multiple impacts this quarter. Currency volatility as measured by the G7 index was 4% lower than the fourth quarter of last year. Sequentially, the G7 index was 37% higher increasing in each month since hitting an all-time low in the month of July. Currency volatility influences our foreign exchange trading income as does the level of client activity. Currency rates, which influence the translation of non U.S. currencies to the U.S. dollar impact client assets and revenues and expenses. The dollar was stronger both year-over-year and sequentially. Dollar strength tempered custody asset growth and related fee growth, but benefited expense growth. Short-term interest rates rose slightly compared with the third quarter yet remained at very low levels, continuing to pressure our net interest margin and resulting in fee waivers on our money market mutual funds. Three month LIBOR and the fed funds effective rate both increased 1 basis point sequentially to 24 and 10 basis points respectively and the overnight repo rate increased 6 basis points to 14 basis points. With those comments providing context on the environment, let’s move to Page 3 and discuss the financial highlights of the fourth quarter. Year-over-year revenue increased 8% with non-interest income up 9% and net interest income up 5%. Expenses adjusted for litigation settlement charge taken in the fourth quarter of last year increased 1%, primarily reflecting higher compensation and equipment software. We’ve recorded a loan loss provision in the quarter of 3 million primarily reflecting loan growth as credit quality continued to improve. Reported net income was 44% higher year-over-year. Excluding this quarter’s income tax benefit and last year’s legal settlement charge, net income was 29% higher. Compared to last quarter revenue increased 5% with non-interest income up 4% and net interest income up 6%. Expenses increased 1% due primarily to higher compensation, equipment software, occupancy and other operating expenses offset partially by lower employee benefit expense. Reported net income increased 19% sequentially; excluding this quarter’s income tax benefit net income was 15% higher. Let’s look at the results on Page 4 on greater detail starting with revenue. Fourth quarter revenue on a fully taxable equivalent basis was approximately 1.1 billion up 8% year-over-year and 5% sequentially. Trust, investment and other servicing fees the largest component of revenue were $728 million in the quarter up 8% year-over-year and 1% sequentially. Fees in our corporate and institutional services business increased 10% year-over-year and 2% sequentially while fees and our wealth management business grew 5% year-over-year and were unchanged sequentially. Higher equity markets and new business were both drivers of growth with higher money market, mutual fund, fee waivers partially offsetting in the year over year comparison. In addition currency translation as I mentioned earlier detracted from overall fee growth by approximately 1 percentage point in both comparisons. Fee waivers were approximately 33 million in the fourth quarter, 2 million higher versus last year and 1 million lower sequentially. The higher waivers year-over-year were primarily due to the growth shield of the funds declining but approximately 1 basis point on average. In the sequential comparison, the slight reduction in waivers was primarily due to higher gross yields. I’ll go into further detail on trust and investment fees shortly. Foreign exchange, trading income was $61 million in the fourth quarter up 19% year-over-year and 31% sequentially. Currency volatility was higher in the fourth quarter, steadily trending up from an all-time low in July. Client trading volumes were modestly higher both year-over-year and sequentially. Other non-interest income was $77 million in the fourth quarter up 9% from last year and up 19% sequentially. Within other non-interest income securities commission and trading income was a record $21 million up over 40% both year-over-year and sequentially. Core brokerage particularly in equities and transition management were both higher in the quarter but the primary driver was higher income associated with interest rate protection products in support of our personal clients. This business is directly tied to wealth management, client, loan demand which were strong in the quarter as well as our clients preference to lock in a fixed rate solution in this low rate environment. The number and size of interest rate swap transactions grew significantly in the fourth quarter driving the increase of securities commission and trading income. Other operating income of 41 million in the quarter increased 8% year-over-year and 21% sequentially. The increase primarily reflects higher income associated with the third party servicing agreement which was modified in December. About half of the sequential increase of $7 million reflects the third quarter impact of the modified agreement. Net interest income which I will also discuss in more detail later was $271 million in the fourth quarter, up 5% year-over-year and 6% sequentially. With that backdrop, let’s look at the components of our fee revenues on Page 5. For our corporate and instructional services business, fees totaled $409 million in the fourth quarter up 10% year-over-year and 2% sequentially. Custody and fund administration fees the largest component of C&IS fees were $282 million in the fourth quarter, up 12% year-over-year and up 2% sequentially. Assets under custody for C&IS clients were $5.5 trillion at year end up 7% year-over-year and 1% sequentially. Growth in fees and assets primarily reflects new business and market conditions including higher equity and bond markets offset partially by the impact of the stronger U.S. dollar. Investment management fees in C&IS of $78 million in the fourth quarter were up 4% year-over-year and 3% sequentially. Assets under management for C&IS clients were $710 billion up 7% year-over-year and up 1% sequentially. The year-over-year increase in C&IS assets under management was due to higher equity and fixed income markets, new business and higher security funding collateral. In the sequential quarter comparison, higher U.S. equity and fixed income markets and new business were partially offset by lower securities lending collateral and the impact of the stronger dollar on international equities. C&IS investment management fee growth was reduced in the year-over-year comparison by higher waivers on institutional money market mutual funds. Waivers impacting C&IS fees equals $17 million in the fourth quarter, $2 million higher year-over-year, primarily reflecting the lower gross yields achieved in the underlying funds that I previously mentioned. Waivers impacting C&IS fees were essentially flat sequentially. Securities lending fees were $22 million in the fourth quarter unchanged versus last year and down 2% sequentially. Year-over-year results reflect higher collateral levels essentially offset by lower spreads in most asset classes. The sequential quarter decline reflects lower collateral levels with the largest decrease seen in U.S. treasuries offset by higher spreads. Securities lending collateral was $116 billion at year end up 14% year-over-year and down 4% sequentially. On an average daily basis, the sequential quarter decline was 1% as the change in period end collateral was more pronounced due to client and borrower decisions around year end positioning. Other fees and C&IS were $28 million in the fourth quarter up 23% year-over-year and 4% sequentially. The year-over-year increase primarily reflects investment risk and analytical services while the sequential quarter increase primarily reflects higher revenue for the benefit payment services. Moving to our wealth management business, trust, investment and other servicing fees were $319 million in the fourth quarter up 5% year-over-year reflecting higher equity markets and new business. Wealth management fees were unchanged sequentially. Assets under management for wealth management clients were $225 billion at quarter end up 1% year-over-year and 2% sequentially. We call that earlier in 2014 we transferred $7.6 billion in assets under management from wealth management to C&IS. Absent that transfer, wealth management assets under management would have increased about 5% year-over-year. Money market mutual fund waivers in wealth management totaled $16 million in the current quarter, flat compared with last year and down just less than $1 million compared to last quarter. Moving to page 6, net interest income was $271 million in the fourth quarter up 5% year-over-year and up 6% compared to the third quarter. The increase in net interest income was driven by a larger balance sheet as client deposits average $87 billion in the quarter up 9% year-over-year and 2% sequentially. Partially offsetting the impact of a larger balance sheet in the year-over-year comparison was a lower net interest margin, which at 1.08% in the fourth quarter was down 4 basis points year-over-year. In the sequential comparison, the larger balance sheet and a 3 basis points increase in the net interest margin drove higher net interest income. The yield on the securities portfolio increased 14 basis points sequentially, about 7 basis points of the increase and yield was due to lower premium amortization and our mortgage back securities portfolio versus the prior quarter. Another 3 basis points of the higher yield was due to the call in the quarter of certain auction rate securities resolving and accelerated discount amortization. Other factors which drove the higher yield on the securities portfolio were maturities of lower yielding, floating rate agency securities, the purchase of longer duration U.S. treasuries and the purchase of higher yielding securities denominated in the Australian dollar. Loan balances average $31 billion in the fourth quarter up 9% or 2.5 billion year-over-year and up 4% or $1.1 billion sequentially. We saw solid loan growth this quarter across commercial and institutional, private client and commercial real estate, partially offset by a lower level of residential real estate loans. The yield on the loan portfolio however, decreased 11 basis points sequentially as average loan yields have dropped in commercial real estate, private client and residential real estate and growth in lower yielding categories have shifted the mix of the loan portfolio. Turning to page 7, expenses were $781 million in the fourth quarter down 2% year-over-year and up 1% sequentially. When adjusted for last year's legal settlement charge expenses were up 1% year-over-year. Compensation expense increased 6% year-over-year primarily reflecting higher incentive compensation, staff growth and annual merit increases partially offset by the favorable impact of movement in currency rates. Staff levels increased approximately 4% year-over-year with about 70% of 2014 staff growth emanating from our global operating centers in Bangalore, Manila and Limerick. On a sequential basis compensation expense increased 2% led by higher incentive compensation and staff growth was 1%. Employee benefit expense declined 6% year-over-year primarily driven by lower pension and employee medical expense partially offset by higher payroll tax expense. On a sequential quarter basis, employee benefit expense decreased 11% primarily due to lower medical expense. Recall that employee medical experience which can be uneven from quarter-to-quarter was elevated in the third quarter. In 2014, pension experience was approximately $5 million lower each quarter versus 2013. In 2015, we expect pension plan experience to be approximately $4 million to $5 million higher each quarter versus 2014 in line with the 75 basis point decline in the discount rate, a 50 basis point decline in the planned rate of return assumption and changes in the mortality table. Thus we expect 2015 pension experience to approximate 2013 levels. Outside services expenses were down 6% year-over-year and up 1% sequentially. The year-over-year decline reflects a lower level of expense in a number of categories including legal, technical services, consulting and sub-custodian. Equipment and software expense was up 5% year-over-year and 3% sequentially reflecting higher software amortization as we continue to invest to support client, improve efficiency and meet regulatory and compliance requirement. Other operating expense decrease 28% year-over-year. Excluding the prior year legal settlement charge other operating expense decrease 11% year-over-year primarily driven by lower business promotion and staff related expenses. In the sequential comparison other operating expense increased 3% primarily in business promotion which is typically higher in the fourth quarter than the seasonally slower third quarter and also typically seasonally higher in the first quarter due to Northern Trust Open. Turning to the full year, our results in 2014 are summarized on page 8. Net income was $812 million and earnings per share earnings per share were $3.32 both up 11% compared with 2013. We achieved a return on equity for the year of 10% better than 9.5% in 2013 and at the low end of our target range of 10% to 15%. Full year revenue and experience trends are outlined on page 9. Trust investment and other servicing fees grew 9% in 2014. New business across segments and geographies and higher equity markets contributed to these results. Foreign exchange income was down 14% primarily reflecting lower currency volatility across the first three quarters of the year. Net interest income increased 7% primarily driven by 12% growth in earning assets as low short-term interest rates continued to pressure our net interest margin. The net result was a 6% growth in overall revenue in 2014. Expenses were 5% higher in 2014 and 2013 reflecting investments in people and technology to support the growth of the business and risk management and compliance requirements. Turning to page 10, a key focus has been on sustainably enhancing profitability and returns. This slide reflects the progress we've made in recent years to improve our expenses to fees, pretax margin and ultimately our return on equity. The ratio of expenses to trust and investment fees is a particularly important measure of our progress as it addresses what we can most directly control. Reducing this measure from 131% in 2011 to a 111% in 2014 has been a key contributor to the improvement in our return on equity from 8.6 to 10 across the same time period. Sustainable improvements to our operating model are critical to our financial performance. Our focus on profitable growth and productivity gains will allow the company to invest in future growth opportunities that will produce timely returns overtime. Turning to page 11, our capital ratios remain solid with common equity tier 1 ratios of 12.4 and 12.5 respectively calculated on a transition basis for both advanced and standardized. On a fully phased in basis our common equity tier 1 capital ratio under the advanced approach would be approximately 11.9% and under the standardize approach would be approximately 10.6%. All of these ratios are well above the fully phased-in requirements of 7% which includes the capital conservation buffer. The supplementary leverage ratio at both the corporation and bank is above 5% which exceeds the 3% requirement applicable to Northern Trust. As Northern Trust progresses through fully phased in Basel III implementation there could be additional enhancements to our models and further guidance from the regulators on the implementation of the final rule, which could change the calculation of our regulatory ratios under the final Basel III rules. We repurchase 2.5 billion shares of common stock at a cost of $165 million in the fourth quarter bringing to $481 million our total share repurchase activity in 2014. Our 2014 capital plan provides for the repurchases up to an additional 108 million of common stock through March of 2015. In October, our Board of Directors declare the quarterly dividend on the preferred stock issued in August. As I mentioned during our third quarter call the initial preferred dividend payment reflected in our fourth quarter financials covers five months or $9.5 million. The quarterly preferred dividing going forward will equal $5.85 million. With respect to the liquidity coverage ratio Northern Trust is above the 80% minimum required effective as of January 1st 2015, and is also above the 100% minimum requirement that will become effective of January 1, 2017. In closing in 2014 we made progress on many fronts. Let me review just a few examples. From a geographic perspective we enhanced our client servicing presence by opening offices in South Korea and Malaysia. From a product and positioning perspective we successfully established new depository businesses in the Netherland, United Kingdom and Guernsey concluding implementation under the AIFMD regulation. In Wealth Management we remain best private bank in the United States for the sixth consecutive year by the financial times group. And we’re particularly gratified the innovation our clients centered strategy and the quality of our staff are highlighted as key factors driving the award. From a strategic and financial perspective, we sharpened our focus on profitable growth with the number of leadership changes that became effective on September 1st. Announced action is expected to produce annual ongoing savings of approximately $25 million once fully implemented and expanded our global operating footprint with the new processing center in Manila and the announcement of our new center in Arizona. We achieved growth of 9% interest and investment fees and improved further the ratio of expenses to fees. Our return on equity was 10% in 2014 within our target range of 10% to 15% and we remain focused on continuing to improve profitability and returns overtime. Thank you again for participating in Northern Trust fourth quarter earnings conference call today. Bev and I would be happy to answer your questions. Rich please open the line.
Operator: (Operator Instructions). And we'll take our first question from Betsy Graseck of Morgan Stanley.
Betsy Graseck: So operating leverage looked really great and I was just wondering if you could speak to how you're thinking about driving operating leverage, if we have a scenario where rates continue to come down at the long end of the curve? Do you have anything that you could do to pull forward some of the actions that you were outlining?
Biff Bowman: We continue to execute expense initiative that we talked about in previous calls. We continue to focusing on the revenue side obviously if you think of operating leverage growing that top line that revenue provides the first part of that. And we believe that our focus around growing our trust fees and executing on our business strategies can allow us to continue to grow that even in a rate environment as you described with a flattening curve. So I’ll talk about the fee part of the revenue in that, if you look at our balance sheet and how it’s currently put together today which I would talk about - they can go a little longer than this is. If you looked at our construction of our balance sheet it is relatively short in duration. And this position to take advantage the short end of that curve moves up and the long end stays flat. And that is scenario that we do model and look at and consider. So I would say we’re positioned well on that.
Bev Fleming: Betsy, did you have a follow up question?
Betsy Graseck : Sorry about that. So the follow-up question is just on the volatility that's in the marketplace. Not so much on the equity market, which is where I know your skew is more towards the equity market than the bond market, but you do have some business obviously in the bond market side. Could you just give us a sense of how the flash crashes that we're seeing in different parts of the market over the last few months, in October we had the Treasury and more recently the Swiss franc activity. How do you prepare for that? How does that impact you? Are you being asked to take on any balance sheet from your clients if other market participants are not willing to provide sufficient liquidity? And is there anything that you can talk to about how you're thinking of trying to enhance liquidity for clients?
Biff Bowman: So let me focus in, I’ll pick one example if I could, I’ll talk about the announcement that the Swiss National Bank came out with, it’s one example the flash crashes that you described. If you think about it from our perspective, other than the obvious move in the Swiss franc and the volatility surrounding that move, we really saw no negative impact and we don’t expect when going forward. Much of our business like our foreign exchange business model is centered around our clients for whom we custody their global assets all around the world, so it’s sort of business as usual if you will in support of that. And so these movements if you will have not created any undue stress other than there is volatility in the market on our client base. As you also know we have a conservative risk appetite, you can look at our bar, you can look at other public disclosures, another example for instance is on FX. We don’t really warehouse large currency positions. So these types of volatilities I am just picking on foreign exchanges, one, really haven’t lent them self to the volatility to our business performances perhaps other institutions.
Betsy Graseck : Right. And your clients aren’t necessarily asking you to take on additional roles beyond the custodian role that you have got right now.
Biff Bowman : They’re not.
Operator: And we’ll take our next question from Adam Beatty of Bank of America.
Adam Beatty: Thank you, good morning. I'll ask my question and follow-up together as they both concern Asset and Wealth Management. Some of the Mutual Fund data that we can see indicate a decent flows through the quarter but somewhat weaker for Northern Trust than other firms in December. Just wondering if you saw similar trends on the Wealth Management side in separate accounts? And also what you're seeing on the corporate institutional side? And as my follow-up it was interesting that some of your wealth clients are were using interest rate swaps to try and lock in lower rates for longer was wondering if that was also affecting their behavior as investors whether they were going toward shorter maturity, fixed income funds or what have you? Thanks very much.
Biff Bowman: First let me talk a little bit if I could about the AUM and AUC growth which I think you talked about or the AUM growth specifically. On the wealth side first of all the performance when you look at markets being up, that was a U.S. phenomenon and if you look at the MSCI EAFE index, that actually declined 4% or so. And our wealth clients are typically invested globally. So it would have had an impact if you will both a positive and net which help drive what I would call some of the lower sequential growth that you’ve seen in our wealth management business. I would also highlight that we did see some movement into cash in our wealth management space, we saw some meaningful that may address part of your question Adam about did we see any different behaviors with the volatility of the market. We did see some movement into cash in our movements so we didn’t get some of the equity pick up that you may have thought about in those businesses. In terms of the swap portion of question, if you think about our loan volume growth that you saw sequentially the 4%, that has largely come to our wealth management clients who have asked for that and in this interest rate environment they have asked for ways to covert the floating into fix. So we think that some of that revenue was just part of a client solution in not only providing the financing for these individuals but also being able to provide the interest rate protection as a part of that solution. So I think ultimately your question was that is it behavior change? I think they’re certainly looking and coming up with their own conclusions about the rate environments and making decisions based on that.
Adam Beatty: Just to clarify, as fund investors, are they sort of shying away from longer government funds or high yield funds and going towards shorter maturity type funds? Or have we seen that?
Biff Bowman : So our mutual fund flow, we saw increases in our mutual fund flow, summing in the cash. I would say probably the trend I would high light would be that that we have seen in our wealth space, I think this is a macro trend is a movement from active to more passive type products in that.
Operator: And we’ll take our next question from Marty Mosby of Vining Sparks.
Marty Mosby: Hi, thanks for taking my questions. I wanted to ask a little bit about the ability to close out the last round of the efficiency target you have on getting the operating expenses equal with your Custody in Core revenues. You've gone down to about only 7% gap between those but do you see kind of what the time frame being able to get that to 100? 
Biff Bowman : So I would start with saying, I don’t know we’ve publically said that the 100 is goal because while we’re trying to continue to drive it down, I don’t know that 100 will be the place we want to stop. But let me give you some color? First if I look at our wealth management business, they actually are at a 100% in the wealth management franchise. Our corporate and institutional services business where we have very high growth as you saw in the earnings, it’s slightly higher than that but it’s reducing that significantly as we utilize locations like Mondella, Limerick and Bangalore to help lower the cost if you will and the cost ratio there. We continue to progress on that and continue to execute on all of the expense initiatives and cost initiatives items that we talked about in the past like our location strategy, our technology strategy on minimizing storage or our asset service, our asset pricing where we’ve consolidated asset pricing vendors, all of those continue and we think we can continue to move forward.
Marty Mosby: Follow-up question was on the loan growth, you've all been around the $28 billion to $29 billion range for a while and now through this year you've really seen kind of a momentum pick up. What are the sources or catalysts for that acceleration in loan growth?
Biff Bowman: Thanks, yes. Let me start by sharing some of the data you’ll see when we publish our annual report. We’ve had great success in our private client loans I think they’re up 510 million or 7% commercial real estate has grown about 225 million and commercial and institutional is also increased really some across the board, the one area where I’d say we haven’t seen that growth is in residential real estate which is a conscious strategic decision for the bank. Our clients demand and need for assistance in those space picked up significantly in the second half of the year and particularly as you saw with the 4% sequential growth particularly in Q4. So those are kind of the pockets of where we’ve seen that loan growth expand.
Marty Mosby: And then you change in your philosophy or just customer demand for?
Biff Bowman : There is not really a change in our philosophy I think we continue to want to serve the clients as their credit needs, as we continue I’d say we’ve grown things that we’d call - secured that is its investment account secured and we’ve gone more up market in our credit strategy that’s why you see some pull back in the residential real estate and more in things such as premium finance, air craft lending and et cetera.
Operator: Now we’ll take our next question from Luke Montgomery of Bernstein Research.
Luke Montgomery: Great, good morning, thank you. Well afternoon at this point. I believe you and the other trust banks recently agreed to share information with your custody clients about what they're paying for benchmark licensing and data that you use in performance measurement for them. So I wondered if you might anticipate any need to unbundle those costs from performance reporting fees or if you think there would be any pricing pressure as those costs become more transparent? Maybe it's just a question about whether you mark those up at all, I'm not sure.
Bev Fleming : Luke that’s something that we’re really not familiar with to that level of detail I’d happy to take it offline with you and help you out, we can talk directly on that at a later date.
Luke Montgomery: Okay, so a little overly detailed, so maybe stepping back big picture, obviously this was a very encouraging result this quarter, fees were up in the face of negative FX impacts. FX fees are finally trending more like peers, you got a little NI growth, expenses seem well contained and the operating margin is above the illusive 30% aspiration you've discussed elsewhere. Core expenses to core trust fees are approaching 110%. So I think at the same time the quarter looks a little bit like an outlier so I just wanted to get your sense of whether you think this is a sort of run rate that's more or less sustainable and a step up related to core business initiatives? Or do you think there is an element of random lumpiness there really caused by the equity market in Q3 among other things?
Biff Bowman : First, we believe that our business model and strategy are absolutely sustainable and geared around our business with great growth demographics whether we’re serving the wealth of individuals or institutions. Secondly, we believe that the ability to execute on those strategies particularly around winning new clients, winning new mandates, increasing our productivity that you discussed are within our control and those are absolutely sustainable items such as markets and currency volatility and interest rate, they will continue to fluctuate and they provide some of the variability in there but we still believe with continued execution that there is sustainability in our momentum.
Operator: And we’ll take our next question from Alex Blostein of Goldman Sachs.
Alex Blostein: Hi how are you guys? Wanted to dig into the [NII] dynamic in the quarter. And Biff you highlighted a couple of moving pieces just wanted to make sure I've got all the numbers right. So there was obviously a little bit help in NIM this quarter from lower premium amortization and a couple other things but all-in sounds like it was maybe like a 10 basis point help sequentially on the securities portfolio. Maybe like a one or two basis point on the NIM overall. Is it a fair assessment so like all else equal, NIM probably stays in the range over the next couple quarters until rates move hopefully in a positive direction towards the end of the year? 
Biff Bowman : Thanks Alex, yes. We would look at this if you have the stated NIM of 108 we think that there was probably 1 basis point premium amortization and 1 basis point we had an early call so auction rate preferred, so that 2 basis point type helped that you talked about it is absolutely in the range from a NIM. There were other actions as you see across many of the earning assets that moved them most of those were conscious actions that we take in the regular management of our portfolio. 
Alex Blostein: Got it. And on the funding side of things again numbers are getting quite small but if you look at I guess your funding cost did come down again a little bit over the course of the quarter I think a 1 basis point or 2 basis points. More of what primarily gets behind that is there more room to go because it doesn't seem like we've seen a kind of corresponding headwind on bank deposits, if you guys could help on the asset side of the balance sheet? 
Bev Fleming : Alex I can give you a few data points there across a couple of the funding categories savings which you think as another time that might be the one you are talking about was down about 2 basis points, we saw lower CD rates across basically all tenors but the ultra short category. You saw the cost of non-U.S office interfering go down about 3 basis points. Recall that we had a change in deposit pricing on Euro deposits, so that was obviously a factor there as well as some less favorable FX swap arbitrage activity. And then long-term debt was down as well, we had a September maturity of FHLB advance and had the full quarter impact of that. So again as Biff said kind of a lot of things just in the normal course if you will that led to both the asset side and funding side moving in aggression as he described. 
Alex Blostein: Got it, that's helpful, thank you. And then a quick follow-up just on the core business. C&IS like we have seen for the last couple of years continues to do quite well. It still sounds to me like a big driver there is the administration business but we don't obviously see the assets that correspond to that. Any sense you guys can break out how much of the growth this quarter was due to kind of some of the new funding administration initiatives versus kind of the more core custody business? 
Bev Fleming: Alex we don't have that breakdown for you this quarter but in 2015 we're looking at expanding our disclosures to include asset letters administration which has obviously become a much more relevant asset figure for Northern Trust and we should have our all of our disclosure parameters and controls in place to allow for that disclosure in 2015. And at that time coincident with that asset disclosure it would be our intention to take custody and fund administration fees for C&IS and break that down into two different lines. 
Operator: And we will take our next question from Ashley Serrao of Credit Suisse.
Ashley Serrao:
?:
Biff Bowman: The slight decline in the corporate capital level really resulted from a flat equity balance and a very modest increase in risk weighted assets as you saw we essentially returned all of net income through capital actions in the quarter between the buyback and the dividend, so obviously we kept the capital level flat and we had a modest increase in the risk weighted assets as you have seen some the balance sheet gets slightly larger. So the combination of those drove that ratio slightly lower about from 12.5 to 12.4, so depending on how you have looked at it. We still think that's a very well capitalized as you might say. The second part of your question was really around the capital structure and how we think about preferred. As you know we did some in August and we continue to evaluate the regulatory environment and to look at our ability to both return or comment and if possible replace that with the tier 1 and that's a strategy we will continue to review on a regular basis. 
Ashley Serrao: Okay. I guess my follow-up is just on the core business within C&IS. Are you able to size the business won but not installed as it stands right now? 
Biff Bowman: Internally we have that ability and we know I will comment on this our pipeline is very strong and our incoming business that will be implemented is also very strong and we're busy working on bringing that in as we speak. 
Operator: And we will take our next question from Ken Usdin of Jefferies.
Ken Usdin : A little follow-on on the net interest income fund, can you just remind us if that if well I guess actually could you just tell us what that number was -- what the premium amortization was this quarter versus the '13 you had last. And then also then remind us how your mechanism tends to work with regards to either coincidence or lagging. So if rates stay where they are will that then revert back the other way just from a mechanism perspective.
Biff Bowman : Let me answer the second part of your question first. We are in a lagging basis so as rates have come down, you and we will look at that and the impact on premium amortization absolutely. The first part of your question was on the.
Ken Usdin : Just wanted to actually size those two numbers that you give basis points terms percent of - you gave in the yield some but it just be simpler if we’re able to just tell us what premium amortization was this quarter and what the benefit was from that those pre phase of the auction rates?
Bev Fleming: It was 7 million was the amortization in the period. I am rounding. 
Ken Usdin : And then smaller amounts for the auction rate pay down.
Biff Bowman : That’s correct.
Ken Usdin : And then the bigger picture follow-up on net interest income. The balance sheet mix is changed low ends are now starting to grow again they’ve become a smaller proportion of the balance sheet. When you think about the potential for rates arise whenever they do any update as use as far as where you think your normalize them can go given the changes that we have seen in both the liabilities structure the equity mix and the asset side components of the balance sheet. Thanks. 
Biff Bowman: What we certainly think our NIM can expand in that environment. And we think we’re positioned well for that increase in rates when they do arise. I don’t think we’ll provide exactly where we think the NIM can go. But we think we’re positioned well. As you see in our duration we’re relatively short with the sort of a 1.1 duration in the existing portfolio and we think like I said we’re positioned well on the NIM for the NIM to rise when rates do come.
Operator: And we’ll take our next question from Brennan Hawken of UBS.
Brennan Hawken: So little quick on the dropping in outside services and other expense. Was some of that a decline in the sort of elevated CCAR expense that you’ve got and should we expect some of that to transition in the comp as I think you guys have laid out in the past. Just curious about whether that’s said play it all there.
Biff Bowman: Let me answer that question from a couple of different perspectives particularly as it relates to regulatory expense and what you saw come through down like services. I’ll start with same, that the decline in outside services fairly broad based that include legal expense, included that consulting expense that you talked about, you talked about consulting services our focusing on the part that you talked about the regulatory environment. Let me talk about that from a few different perspectives. As we said in the past our expenses associated with outside consultants it did ramp up in 2013 really due to our first time efforts around CCAR resolution planning. We expected the level of consulting expense related to these initiatives to decline in 2014 and that did indeed happen. We do continue however to add personal where appropriate and as we shift to what I would call business as usual environment we’re staffing those efforts more internally than using outside expertise. So the second part of it is our portfolio of regulatory initiatives quite frankly it changes year to year, as you’re aware. We track those we track the expenditures for those specific programs and we really track those programs if you will to indicate where we need internal personal and appetite consultant. And we’ve seen the mix shift from use of outside consulting to the hiring of personal internal Northern where we need that expertise on an ongoing basis. So I’ll end it by saying while we don’t really a moderation in the level of expense. We do see a slowing in the growth rate of that and the mix between internal higher and external is shifting as well.
Brennan Hawken: And then following up on the point that you made on the swap volumes that you saw this quarter, should we view those as sort of one time in opportunistic. And if so is there a way you could help us maybe size that to think about how we should be looking at the revenues on core basis.
Biff Bowman: So they are opportunistic and they are certainly in any environment would move up and down and - this sequential increase had about half of that sequential increase was a result of what I would call apostolic interest rates swap opportunities. Those can come and go in quarter depending on loans. But about half of the sequential increase in that line item was interest rate swaps.
Operator: And we’ll take our next question from Brian Bedell of Deutsche Bank.
Brian Bedell: Biff if you can just talk a little bit more on the balance sheet. Just trying to get a sense of direction coming into 2015. I think you mentioned investing a little bit longer out on the yield curve in the government security portfolio. Just want to see if that was a significant additive. And then also on the yield mix and pricing if you continue to see that recent trends continue into 2015 on the loan pricing?
Biff Bowman: Let me start with part one on the duration. As we said we were at 1.1 in the month of December we did add about 0.1 of duration buying treasuries about $1 billion worth of treasury. So I would say a modest increase in the duration of the portfolio and still on the shorter end. So that help to add if you will some of the increase that you saw there. If you look at the loan, the yields on loans were down 11 basis points quarter-over-quarter. There is a couple components that I’ll walk through there if I could. The first is really the shift if you will, the first was we’re in lower yielding loans and I scribe some of those, so that is part one. And part two is some of that mix shift has impacted the overall spread and we did have a very modest amount of lease residual write down in the quarter meaningfully. But the combinations of those sort of was the 11 point basis points.
Brian Bedell: And do you see those trends continuing aside from the lease residual write down? Do you see those trends continuing into the first quarter? And what’s sort of your ceiling on duration on the securities portfolio that typically like to stay within?
Biff Bowman: On the ceiling on duration the answer the answer is as we meet monthly as a committee and look at the market environments and make decisions as needed. So we removed appropriately on that front. In terms of the loan yield, somewhat a factor the market, what is pricing doing in the market and if the compaction and others continues to drive down the pricing on the loans there that we have there, we could continue to see pressure on that line. So that’s all market driven.
Brian Bedell: And then just for clarification on the expenses, I think you said FX currency translation impacted revenue by 1%. I don’t know if I missed what the impact was to expenses?
Biff Bowman : Generally the revenue and expense impact for us is almost a wash in any given -- on a year-over-year comparison we had 7 million worth of trust fee impact and 6 million worth of impact in our comp bend. But a reasonable expectation is around those two being a wash in terms of currency impacts.
Operator: And we’ll take our next question from Glenn Shor of Evercore ISI.
Glenn Shor: Just a quick question on annulations levels. You mentioned strong capital ratios and you returned most of the cash net income in the quarter. But fully diluted share counts only down 1.3% year-on-year. So just curious what’s the annual issuance about just more of a modeling question for go forward?
Biff Bowman: I was thinking about whether or not I have got that in the materials in front of me. I think I am going to have to get back you on that.
Glenn Shor: The other question I have is just in asset management general we tend to talk around it through the other businesses but maybe we can get a quick reminder on maybe the core growth initiatives within the asset management as a business is seen to be well positioned from a product standpoint given the environment and using your own proprietary distribution. But just curious if you could talk about it at the asset management business level?
Biff Bowman: I’ll highlight a couple of initiatives in the group that are, we’ve talked about our ETF growth and we continue to add funds I believe we have 17 funds in our ETF family and over 8.5 billion of AUMs, so that’s continued to be a focus. I would also highlight an engineered equity products and capability, this is if you think about our tax advantage equity and other programs which is as the trend from active to passive comes we view engineered equity as a form of active equity but has some of the characteristics of passive funds in their return profile. And so those are two areas, the third I would highlight is have alternatives investment business. And particularly that’s a particular interest really across both of our business units, but that demand as you might suspect from our wealth management clients. 
Glenn Shor: Okay and usually not a big - on my part but while you’re contemplating some of those other disclosures for 2015, a metrics screen on asset management as a business might be an interesting one because you got a lot of essential pieces of what’s growing in the marketplaces it’s hard to see sometimes but I appreciate that.
Bev Fleming: I just find that figure, so we talked about in the call that we had 2.5 million shares repurchased in the quarter. The issuance for under employee comp was about 112,000.
Glenn Shor: [indiscernible].
Bev Fleming : For the fourth quarter.
Glenn Shor: Okay, I have a follow up and if you don’t have it on the full year later.
Bev Fleming: Okay, no problem.
Operator: And we will take our next question from Mike Mayo of CLSA.
Mike Mayo : Hi, I’m staring at slide 4, and just looking at the fourth quarter annualized revenue growth of 19% and wondering how much of those revenues are sustainable? I heard that you said you’ve sustainability to model the clients and momentum but what’s interesting is that your assets under custody and assets under management grew only half of that in the fourth quarter as it did for the year but the revenue growth grew twice as that so maybe just to summarize what you said on this call, you talked about some episodic event but when I look at slide 4, and the four categories, anything there you want to caution us about not extrapolating too much?
Biff Bowman: Yes, well first of all in first part of your question was around the AUC and other growth there is foreign exchange impacts on those so they somewhat tempered AUC growth and other so the sequential growth was a little bit it muted the impact of the AUC growth by some of the foreign exchange impact. In terms of is there anything in that, that we want to sort of - I’d say that there is the core business the trust fee growth continues to be solid and trend around that 8% to 9% range that you’re seeing by almost three measure we think that there will clearly be volatility in FX, your models will produce that and we think in the net interest income model while at risk to the - rate loop, we think we’ve given you some pretty good indications to the stability of that. We can highly control the expense side of the equation in terms of the overall profitability and we continue to work on that but I don’t think there is any revenue trend that we would call out, Bev, I don’t know if you have.
Bev Fleming: Yes, Mike I guess the only think that I would point out and as Biff mentioned this earlier and you can quite see it on slide 4 but within the other category is securities commissions and trading income and we did point out that, that was a record in the quarter quite a significant record of $21 million and that the interest rate swap revenue in the quarter was particularly high. So, what I’d say is the stars align with respect to that particular revenue stream and whether or not that will repeat as we go forward and the interest rate environment shift and client demand shift remains to be same.
Biff Bowman: Yes, and Mike I highlight one other in the other income we have a relationship that we talked about that it had some third quarter impact we had retroactive negotiation with the service provider if you will and we have some benefit in that it’s a portion of that outperformance but not meaningful in terms of that but there is a little bit of the outperformance and other was third quarter and not fourth quarter run rate relatively modest.
Mike Mayo : And then just one follow-up, in terms of the competitive environment as it relates to the trust fees, has anything changed, has it got better, has it got worst, could you talk maybe by geography?
Biff Bowman: It continues to be a competitive landscape as you know I think there is discipline amongst our competitors in that, they have their own models and when it - an opportunity make sense financially they compete hard and when it doesn’t we’ve seen them for ourselves have the discipline to not continue on, both from a pricing and from a risk perspective at least that’s true for us. In certain regions of the world we’ve seen our success and our competitive wins have been really broad based I think we’ve had particularly great success in Australia but the wins are pretty broad based for us across the business.
Operator: And we will take our next question from Gerard Cassidy of RBC.
Gerard Cassidy: Question I have has to do with your securities lending business, can you frame out for us the ideal environment where the security loan balances could grow even faster than you have seen in the recent past. Ideally the foreign exchange revenues, it seems like high volume of activity and volatility favorably impacts that business. Earning metrics that you guys look to that could favorable impact the securities lending business besides some spreads widening out. 
Biff Bowman: Demand is a big part of that I mean the market the hedge fund needs for the securities or the instruments you have got I mean demand is the primary driver of the success in that business. And as you know that varies and particularly in the fourth quarter we see people make decisions about their willingness to have that outstanding late in the year but demand is the driver. So if we see either stocks let's talk about equities if we see equities with high intrinsic values and there is a demand for those it's a driver of that business -- a substantial driver of that business. 
Gerard Cassidy: Do you get a sense behind the demand obviously higher demand would be great but would a sustained bear market be the ideal condition to drive that demand even higher. Do you guys with a sense of what that would be from your past experience? 
Biff Bowman: I am not sure, I think it could but it would be speculation on my part I mean I think it's absolutely good but I would be speculating and I don't -- I would be speculating I will leave at that. 
Gerard Cassidy: Okay. And the follow-up question is you guys have had good success in growing the balance sheet obviously over the last two years and one of the areas of growth has been the deposits that central banks the Federal Reserve deposits were up quite strongly in the fourth quarter versus first quarter of '13 as you show in your trend slides. The question is how much of that is sticky meaning that should rates move higher and your customers decide to take their excess deposits out assuming most of them are sitting there. Where do you see those line items going and do you have the liquidity coverage ratio that you have to maintain versus what your customers may take out and put elsewhere? 
Biff Bowman: So I will start with our liquidity coverage ratio and as you see from our balance sheet our liquidity coverage ratio is fully compliant with 2017 guidelines and is north of a 100% as we talk and to your point we have a very liquid balance sheet as you have seen. We do detailed analysis to understand the stickiness or what is operational in that deposit base and what is perhaps sitting there as an excess and I have just used that phrase as an excess. I think that much of the growth in the balance sheet and much of the growth that you have seen in central bank deposits et cetera is reflective of the growth we've had in our business. They are largely items there that would be in support of business transactions and the core custody business. We have had an increase in demand deposit if you look at that, that's a meaningful increase on the balance sheet. I believe two-thirds of that increase is in 10 clients and that money is largely around hedge funds endowments and other types of large clients with large balances. The nature of them staying or going is probably somewhat more in up for discussion. But our core balance growth I think is still reflective of the business growth you see. 
Operator: And we will take our next question from Jim Mitchell of Buckingham Research. 
Jim Mitchell: I just wanted to follow-up on foreign exchange in the fourth quarter as you guys were up 31% sequentially. Is that purely the function of just the higher volatility or was there anything unusual whether this quarter I mean fourth quarter as in the third quarter where you were a little bit weaker than your peers. Anything unusual that you saw in the fourth quarter or is it just reflective of the environment? 
Biff Bowman : It's largely reflective of the environment with the volatility we track with that we had very modest volume increase with our clients but largely it was is around the volatility. As we said last quarter though we continue to build out our capabilities and products around foreign exchange business and we hope to see the fruition of that as we move through the year. 
Jim Mitchell: On the electronic side? 
Biff Bowman: On the electronic side and providing algorithmic solutions to our clients et cetera. 
Jim Mitchell: Got you, so when we think about the volatility this quarter -- I appreciate the comments around it's the volatility around the Swiss National Bank for instance was in a negative but I would think is it fair to assume that all else being equal the higher volatility so far this month is a positive or is there would we think there is something else that could be negative -- I have seen that way but volatility should be good, right? 
Biff Bowman: Volatility is good for us as I described earlier with the -- no we don't warehouse positions and others it's really trading volume for our clients, so that volatility is positive. 
Jim Mitchell: Great, and on sticking with the volatility theme, have you seen deposits remain elevated or increase by the times end of the quarter you get a buildup and then it drops up. But obviously with Swiss National Bank in Queue and Europe, do you see deposit level even growing further so far this quarter.
Biff Bowman : We have seen some modest growth in the balance sheet. But I wouldn’t say outsized from traditional growth that we just see related to our core businesses.
Operator: And we’ll take our next question from Jeffrey Elliott of Autonomous Research.
Jeffrey Elliott: When you talked about the 10.6% fully phased Basel III common equity tier one you mentioned that you’ll be watching for what regulators have to stay there and I just wondered are there any areas in particular that you’re focusing on but you think could move that ratio up or down.
Biff Bowman: We just continue as you know in December Governor talked about additional buffers which didn’t impact us. But we still stand ready to see if that type of change is come along so it’s so much of change in the calculation of that element of the ratio. But it - where our levels are relative to where new ratio limit are required. So we've seen ready to make adjustments if we need to be compliant with any new ratios that come about. And then we obviously will wait for anything on the net stable funding ratio we got better guidance in the U.S version of that and the Basel came out in October but the U.S sort of finality that and others. 
Jeffrey Elliott: And then maybe just to follow up there’s been some discussion around the group of banks which go through the CCAR process being bolted the 50 billion asset threshold being where is - Do you kind of think as an advanced to purchase bank you’re going to be in that exercise whatever or do you think this as a $100 billion asset bank or thereabouts, at some stage you come out of the process or it gets watered down.
Biff Bowman: The answer I would say is we’re different in some of those other $100 balance sheet banks in the sense that were 6 trillion of assets under custody and were a trillion almost a trillion of assets under management. So we become and we’re far more significantly global that probably puts us in a position that the regulators will have to make a determination if we more like a U.S based $100 billion regional bank or a global institution and want to see how that plays out.
Operator: And we’ll take our last question from Vivek Juneja of JPMorgan.
Vivek Juneja : Question on the swaps business that drove some higher revenues. Is that a business you have trying to expand more actively in the wealth and management area?
Biff Bowman : It is a business that we think is complementary to our focus on solutions for our client. And in this kind of interest rate environment particularly is the credit demand picks up and we have an interest rate environment where people have an opinion on whether it’s at lows or going up. It’s a product in a capability that I think goes out for solutions that we can bring to them very effectively. So we will continue to discussing with our clients as needed.
Vivek Juneja: And might you limit in to just interest full ups or anything beyond that too.
Biff Bowman : Generally that’s been the most common solution. But we listen to our clients and if they have other needs we certainly have those dialogues internally. 
Vivek Juneja: And a completely unrelated question that been some great cuts overseas any commentary on implications of those.
Biff Bowman : Sure if you up picked Swiss franc if I could for instance we have about $200 million worth of Swiss franc deposits we have been charging negative 35 basis points on that with move to negative 75 basis points. Our team will closely monitor the situation and adjust our pricing to be appropriate for the competition. But likely moving down much closer to that rate if not slightly hasted. And the same would be through in the Danish Kroner or any other market that where they dropped the central bank rates if you will.
Vivek Juneja: And in Australia meaningful one from your folks in terms of deposit or assets.
Biff Bowman: It is and in fact it is a high growth area for us. And some of the improvement in our NIM is been our ability to invest in Australian securities it’s a pretty modest impact to the NIM but it is - it’s an example of where because we have the cash and the deposits in that market we’ve been able to utilize some sub sovereign wealth investments in the Australian marketplace.
Operator: And at this time, there are no further questions in the queue.